Operator: Good morning, and welcome to the Herman Miller's First Quarter Earnings Conference Call. As a reminder, this call is being recorded. I would now like to introduce your host for today’s conference, Kevin Veltman, Vice President of Investor Relations and Treasurer.
Kevin Veltman: Good morning, everyone. Joining me today on our first quarter earnings call are Andi Owen, our President and Chief Executive Officer; Jeff Stutz, our Chief Financial Officer; John Michael, President of North America Contract; and Debbie Propst, President of Herman Miller Retail. As you may have noticed in our press release that was posted yesterday, we have changed our approach to the quarterly press release to adopt a shareholder letter format that replaces our prepared remarks on the conference call. We believe this approach both provides more timely information for investors and allows more time for questions and dialog on the call. We have posted today’s press release on our Investor Relations Web site at hermanmiller.com. Wherever any figures are presented on a non GAAP basis, we have reconciled the GAAP and non-GAAP amounts within the press release as well. Before we begin today's Q&A session, I would like to remind everyone that this call will include forward looking statements. For information on factors that could cause actual results to differ materially from these forward looking statements. Please refer to the earnings press release, as well as our Annual and Quarterly SEC filings. Any forward looking statements that we make today are based on assumptions as of this date, and we undertake no obligation to update these statements as a result of new information or future events. Today's call is scheduled for 60 minutes. With that, I'll turn the call back over to the operator and we'll begin to take your questions.
Operator: [Operator instructions] Our first question comes from Greg Burns with Sidoti & Company.
Greg Burns: Good morning, thanks for taking the questions. I just wanted I guess start off on the strong margins to get a sense of how sustainable they are across the different segments of the business. I know you've taken some temporary cost actions at the beginning of the pandemic. So I was just wondering, if some of that starts to unwind or come back into the P&L. Can you just give a sense of, relative to where we were this quarter, maybe how we should think about margins and some of the temporary items that you were avoiding going forward? Thanks.
Jeff Stutz: Yeah, Greg, this is Jeff. I'll maybe start off here. So you're right. We certainly did, as reflected in our results for the quarter and last quarter for that matter, take some fairly aggressive actions to pull back on cost. Some of those things are more structural. Some of them are intentionally temporary. And in fact, earlier in the quarter, I'm sure you saw we announced we did return some of the cost reductions that were put in place in the form of temporary wage reductions. So those have been brought back. If you think about kind of the -- at the headline level, the kind of actions that we've taken to reduce costs, we had some workforce reduction actions that we took that equate to somewhere between $35 million and $39 million annually. We have some employee benefit programs that were temporarily reduced. That's probably on the order of $24 million, $25 million annually, that's still in place, by the way, that would be exclusive of the wage rollbacks. And then we've pulled back in areas like travel and expenses and so forth, which naturally is occurring because of some of the restraints that we're feeling around COVID. So you're looking at somewhere between $85 million and $90 million per year in current expense reductions. As we roll forward, we have to make a determination when the right time is to bring some of those benefit programs back. That's under evaluation right now. So we're not yet ready to make that call but that's something that we're evaluating. Clearly, good results for the first quarter but I'm sure we'll get into this further on the call. But we've got some order pressures that we're feeling. And so we're still expecting that there's going to be some pressure that we're up against. So those cost reductions are under evaluation. We do have -- in addition to those, by the way, there's some discretionary and variable type expenses that occur naturally in the business with lower revenue levels. I would say moving forward, somewhat offsetting those, and it's certainly not offsetting all of those reductions or not even close. But we are going to be making some incremental investments in some of the digital programs. We mentioned in the shareholder letter, some of the progress we've made. There's more to do in that area and we're not going to pull back on that. We think the time is right to make those investments. So we're going to see some ramp-up in digital spending. We've got Debbie on the call here, representing the retail business. And I'm sure she'll have an opportunity to talk a little bit about some of the programs that are in place there and some of the marketing programs and so forth that we're going to be picking up some spend on as well. So I think I would frame it as those are the structural cost reductions that we've made. If you look at margin performance by segment. Clearly, the headline for the quarter here was the retail business, which benefited tremendously from a variety of mix factors that were in our favor. Some of those we expect to be durable here, at least as we move forward into the upcoming quarter, probably offset a little bit by some of the spend initiatives that I mentioned. So really good margin performance there. I think we expect elevated margin performance in that segment. Perhaps not to the same exact level as we move ahead, but nonetheless, pretty strong. And I'd say for the contract elements of our business, those businesses, while -- and particularly in North America, and John Michael, again, is on the call and he can speak to this. We're feeling some real order pressure. But the teams across the board have done a great job pulling in the reins on spending, particularly in some of those discretionary areas to help offset and the segment delivered really strong operating performance as a result of it. And I'd say the same thing for international. So, we feel pretty good, certainly about the Q1 performance and expectations here as we move forward, at least in the near-term, is that we're going to be able to at least hold on to some of the benefit, albeit perhaps at a bit lower top line performance.
Andi Owen: I think, Greg, what I would add to that, this is Andi, by the way, is I think the last six months have been a testament to the strength of this team to adapt to changing circumstances and keep an eye on the bottom line. And like every other company in the world, we've learned a lot about ways we can operate differently in places where we can do things virtually. So I think we expect to see a good portion of this carry through, to Jeff's point, with the investments that we have been making in digital and we have been making an infrastructure continuing along the way.
Jeff Stutz: And Greg, this is Jeff again, I might just add. I think if you think about the business in the more medium term, we still are believers that deleverage. If we feel pressure on the top line, deleverage is probably in the range of 25% to 30%. I would say that based on recent performance, it's probably at the lower end of that range, but that's kind of how to maybe think about it at a high level.
Greg Burns: And then looking at the kind of the relative strength of international. Where is that coming from? Was that on the back of the backlog coming through the quarter? Or are you seeing businesses there start opening up? And as they do bring employees back, they're forced or their they're incentivized to start making buying decisions to adjust their offices. I'm just trying to get a feel for kind of what's driving that relative strength internationally? And maybe is that something we might see in North America as we start to open up here?
Andi Owen: It's a great question, Greg. I think international sort of gives us hope as we look at what's happening in North America right now. But I would say a big portion of what's happening there is the kind of curve that many of the countries and the rest of the world are on related to COVID. So if we think about the APAC region, China is in many ways up and running in a very, very normal way. We look at our businesses there. People are walking around without mask. People are back in the office. So we are really seeing that part of the world kind of coming back up to normal. Even in parts of Europe, particularly around Denmark and places like that, we have seen life return to the new normal. So we are optimistic that as we continue down this curve in COVID, we'll see those things start to happen. And also don't forget, with the acquisition of naughtone and HAY, we're seeing a really nice uptick in both of those businesses. That's supporting the international business as well. So as strong indicator we think of what's coming in the U.S., hopefully, if we get this under control but that business has been very healthy. Jeff, would you add anything?
Jeff Stutz: No, I think that's good. I think just regionally, Andi, you alluded to China, you alluded to parts of Continental Europe. I would also add Japan and the Middle East were two really strong performers for the business this quarter. So that would I think bears mentioning.
Greg Burns: Okay. And then lastly, can you just talk about order trends throughout the quarter? And I think in the press release, you mentioned some pretty good moderation in the declines in the first couple of weeks of the second quarter. So can you just give a little bit more detail, is that specific to maybe retail, or is it across the board? Can you just give us a little bit more color on order trends?
Jeff Stutz: Yes, Greg, this is Jeff. Maybe just a little bit, and I'd ask John and Debbie, feel free to chime in and add color here. At the headline level, the consolidated level, just to give you an idea. We were down in total. These are organic numbers, by the way. We were down about 35% organically in the month of June by itself. That improved. We were trending closer to down 20% organically by the time we closed the quarter and I would say through kind of the back half of the quarter, and I would say through kind of the back half of the quarter. And in the first couple of weeks of the second quarter, organically on the order of that down 20% still, so more consistently. And then just to frame that for you, with acquisitions, we're down closer to 10% in the first couple of weeks of the quarter.
Andi Owen: John Michael, or Debbie would you -- John Michael, you want to weigh in on North America contracts?
John Michael: Sure, Andi. Thanks. Good morning, Greg. I would say, we definitely saw a strengthening in order trends in the back half of Q1 and into Q2. Another relevant data point if we look at the opportunity funnel going forward, it is not down nearly as much as the order trend is. And I think that's indicative of the fact that our clients are still trying to figure out what's next in terms of the future of the office. We're obviously in conversation with them on that. But there is a bit of a pause as people are trying to figure out what the right next moves are relative to the workplace.
Andi Owen: Yes. I think that's a great point, John, because I think what we're seeing, which we've mentioned to all of you guys before is we're not seeing many cancellations, but we are seeing people kind of push things down the road a little bit. So we think as things start to turn around, we'll start to see some of that funnel become more operational, which we're starting to see in Q2. Debbie, would you add any point of view on retail?
Debbie Propst: Absolutely. So in the retail segment, we saw June orders at plus 17% to LY and then July and August were both within 1 point or 2 of plus 50 to LY. So we've definitely seen order trends pick up. A couple of dynamics there to consider. The first is that in June, our East Coast brick-and-mortar locations were still closed for the majority of that month. And then secondly, in July, we launched our new dwr.com Web site, which has had significant conversion improvement. And with our mix contribution of e-com sitting at double LY, that improvement of conversion has been significant for us. So our conversion rate of that new dwr.com Web site is a 26% increase versus our previous Web site experience. And there are some really exciting metrics that indicate advanced performance throughout the whole customer journey online.
Operator: Our next question comes from Steven Ramsey with Thompson Research.
Steven Ramsey: Good morning, everyone. On I guess I'll start with continuing on retail. Maybe can you start with the brick-and-mortar side, you said demand was up 4% but traffic levels down. Does that mean sales up 4%? And then maybe can you go deeper into kind of what's driving that figure? I mean, is it bigger purchases, higher ticket items, or is it customers buying more smaller items? Just any color?
Debbie Propst: Absolutely. This is Debbie. I can take that question. So we are seeing traffic rates at about down 50% to 55% to last year in our brick-and-mortar locations. But we are obviously seeing the performance of those locations in sales at plus 4% to last year. So what we're seeing is a higher intent customer. Actually coming to the physical location at a different point in their customer journey versus what we typically see. So usually, the sort of store interaction or studio interaction is during the consideration phase when the customer is still browsing and flexing ideas. And now what we're seeing is the customer coming to the store studio at the end of their journey, ready to transact once the -- and touched and felt the product. So we're seeing higher intent that's driving higher conversion in the traffic that is coming through the door, and we're also seeing higher order value, as well as customers are spending more on upgrading their home. And obviously, our homes have more pressure on them than they've ever had before. We have to make spaces work harder within the home. People are looking for multi-use decorating tactics. And so we're really able to help with that and drive a larger value through our store channels as a result.
Steven Ramsey: I guess, on the web growth for retail, I guess, with the strong growth and then orders being up so strong as well in the quarter. Two questions, I guess. Are you able to ship and deliver products in a timely manner? And then second, how much of that order reflects a buildup of just demand not being able to ship as timely as maybe normal times? And the strong order patterns up 40% in Q1, does that indicate sales trending at similar levels on a year-over-year basis to Q1?
Debbie Propst: So we're going into Q2 with pretty normal backlog coming out of Q1. A little bit of the June ship sales volumes were obviously orders that we collect data in April and May and didn't ship, but our orders and sales levels are very close to each other throughout the course of Q1 in totality. So I feel really good about the order trends that we're seeing.
Steven Ramsey: Great. So there's no reason that Q2 sales, there's no puts and takes that would take Q2 sales much, much lower necessarily than what orders would indicate.
Debbie Propst: We got a slight bump coming into June from orders that we took in April, May, but we’re expecting similar order rates that we're seeing in July and August carry forward into Q2.
Steven Ramsey: Great. And then last one for me, kind of switching to North America contract. In discussions with companies and clients, what are they saying about the future of the office compared to some of the theories and ideas that brokers and others have discussed, as well as office furniture companies have discussed on what the office of the future looks like? Do any orders that you have now reflect kind of the new world of offices?
John McPhee: Steven, this is...
Andi Owen: Actually, go ahead, John. And I'll add when you're done. Go ahead.
John McPhee: I would say we're definitely seeing customers make that transition and the new thinking about the future of the workplace. And I think our point of view and what we see in client conversations is the work model is going to be much more distributed. I mean pre-COVID, 14% of employers said that their employees could work effectively remotely. Similar survey done in June of this year, that number was 42%. So we've seen the migration to a more distributed work model, but we -- I think the pandemic has definitely accelerated that. And I think we're going to be in a mode where the workplace, including the office, is going to be more on demand, more of an on-demand resource that supports different types of work and adds value. And the offices really shines in the areas of building culture and community and enhancing individual focus and supporting intensive teamwork and collaboration. And we're starting to see the shift in terms of layout and design that supports those primary functions. What would you add to that, Andi?
Andi Owen: And I would say, Steven, this has represented a real opportunity for us and one we're excited about, because the distribution of the workforce has been happening for a very long time prior to COVID. But given the multichannel distribution model we have, given our strength in residential furnishing and given the fact that we are here to help people sort of revamp the spaces they do have that are office oriented, as well as support the workers that are working from home and now schooling from home, we think we're even more set up for a distributed workforce of the future than we ever have been before. So I definitely think that the companies we're talking to the customers we're working with are on the continuum. Everywhere from -- we're coming back to normal as soon as we can back to the office, just like we used to, all the way to a larger portion of our folks are going to be working from home. But we're supporting every customer in a different way along that journey. So it's been a really interesting time for the company and it’s full of opportunity for our business model.
Operator: Our next question comes from Reuben Garner with Benchmark.
Reuben Garner: So I had some technical difficulties and missed most of Greg's questions. I caught the tail end. So sorry if I repeat anything. But I want to start with the backlog, I think you said it was flat year-over-year in the release. It doesn't sound like any of that is driven by what's going on in retail. So I guess, number one, is that correct? And number two, if it is, does that mean -- I mean, obviously, in prior crisis there's been a big decline in backlog that's been kind of simultaneous with the order drops. I mean, does that give you guys increased confidence that maybe things might come back quicker this time around than they have in prior recessions and specifically talking about North America?
Jeff Stutz: Reuben, this is Jeff. And that was not a repeat question for the record…
Reuben Garner: One for one…
Jeff Stutz: So let me give you a little color on the backlog. So specific to the North American contract business, backlog for that segment is down about 20%, okay, rough numbers. Retail, as you said, as Debbie said, it's -- or I don't know if you heard that comment, but she said it's a fairly normal backlog coming out of the first quarter. So no big surprises there, actually, in pretty good shape. In the international backlog, it's actually up. It's up about 13% and that's organic, okay? So just to kind of give you a little color by segment. I would say, generally speaking, while there's still a lot of uncertainty, and I don't want to paint the picture otherwise. I mean, obviously, with the MAC business we're seeing some order pressure and with backlog being down, there's still a lot of uncertainty. But I would tell you just given the circumstances of what's driving the pressure, it’s virus related, it feels episodic. I think we do have a bit more confidence that if we can get some some help from science around this, I think we can get back on our feet a little quicker. So I think that's our working assumption here. Now that's not to say we're out of the woods by any stretch, right? And the other thing I would say about international is we were really pleased, no question. That business has performed very, very well. As Andi said, a little further ahead, perhaps on the recovery curve. The one thing I would point out, though, is with international in this segment of our business, that tends to be a bit longer-dated in the backlog, just nature of the business. You've got projects that have longer shipping distances. It tends to be a bit more project-driven in general. So I just would caution some of the assumptions around translating that backlog into shipments. It tends to be a little longer-dated in general terms than we see in North America.
Reuben Garner: And then just a follow-up to that. You gave kind of -- or I think Debbie gave a retail breakdown of what kind of order trends you saw throughout the quarter. Can you can you do the same thing for organically in the international business. And then in North America what was the progression? Like I know you mentioned it was modestly better in the second half. Can you kind of break down what that looked like for us?
Jeff Stutz: Yes, happy to. This is Jeff again, Reuben. I'll start with -- taking in order, as you mentioned them. International business, we kind of started the quarter with organic order rates down about 20%, just a little north of 20% decrease year-over-year. That improved markedly as we moved through the quarter. We ended, as you saw, the reported number or the organic number that we reported down about 10% in total. And in the first couple of weeks of the new quarter, thus far, down about 5%. So we've seen an improvement there. Hope to hold on to that, obviously. And then in the North American contract side, June was not great. We started off in a bit of a hole -- we were down close to 50% in order entry levels. That improved meaningfully as we closed the quarter, I think the month of August was closer to just below 40% declines year-over-year. And in the first couple of weeks of the new quarter, down around 30%. So still down meaningfully year-over-year but we like the trend.
Reuben Garner: Yes. Thanks Jeff. That sounds like I'm two for two. Here's where I think I might be replicating, because I caught the tail end of the responses to Greg. I want to hit on the sustainability of margins. And you mentioned in the release the 25% to 30% decremental. I guess my question is given that everything -- how everything has progressed. And I think mix and channel mix and product mix has a lot to do with your margin profile today. Is it fair to take kind of where we are in Q1 and apply a decremental margin maybe sequentially rather than looking at it on a year-over-year basis? I mean, clearly, the first quarter versus a year ago, the decremental margin did not come into the picture. Help us go from [15.2%] at the ink level to the next couple of few quarters.
Jeff Stutz: Yes, Ruben, that was -- I'd say, you're three for three somewhat here. Maybe a follow tip on that with that last question. So maybe stepping back for a minute. You followed us long enough to know. I mean, our overall margin performance in this business is never a straight walk, right? And so we always try to make the point that period-to-period changes, you've got everything from in periods where we're overperforming, you've got factors like bonus expenses that ramp up from one period to the next that can drive changes. And so this is not normal times. Clearly, we're coming out of a first quarter where we had very favorable mix factors. We can certainly get into that a little further for you if you'd like. But what I would tell you is we continue to be believers that probably the lower end of that range is reasonable. I would say, it doesn't seem unreasonable that you could look at that on a sequential basis. I guess I'd have to step back and dig into that math myself a little bit, but I don't think that sounds unreasonable. Certainly, Q1, because of the significant pullback in cost that we pursued, we saw we kind of bucked that typical expectation on deleverage. We saw lower revenue and higher operating profit. That's not necessarily the expectation of the business going forward, because as I said -- I think you maybe missed it. We've pulled back in a number of structural areas cost wise. Some of those are temporary initiatives. And so, we have a few of those under evaluation is for when the time is right to bring some of those things back, things like temporary benefit reductions. We haven't made that decision fully yet, but it's in front of us. Travel and entertainment, T&E, as we start to loosen up a little bit and get people moving around the world a bit, we're going to see cost elevate related to that. We brought back the temporary pullback in wages earlier in the quarter that we've announced. And so we've already pulled some of those costs back. There's more in front of us. And then the other thing I would say is one of the things that Andy has been -- and Andi you can speak to this. But I can say from my perspective has been really, I think, passionate about is really ring-fencing some of these digital initiatives that we have in the business in protecting those and leaning forward into those investments as opposed to pulling back. So, there's areas of the business that we definitely want to be in our front foot, and some of those investments are slated for the upcoming quarters. And so we're going to see a ramp-up in digital spending in a few areas of the business that I think all some told kind of give us a sense that 25% to 30% deleverage is reasonable. But I would say based on recent performance probably toward the lower end of that range.
Reuben Garner: And is there anybody in the queue behind me, I do have one more but I don't want to be selfish here.
Andi Owen: Go ahead.
Reuben Garner: All right. I'll sneak one more in then. So I guess kind of on that note, Jeff, the e-commerce how much does -- so in the retail business specifically. I mean, does the e-commerce boost? And it sounds like that drove a lot of the growth in the quarter and is likely going to continue. I mean, how much of the margin pickup that you've got is from selling through that channel, where you don't have the brick-and-mortar and I know you're probably selling more of the home office through that e-commerce channel right now. But how much -- I guess, how do we think about long-term what retail margins could look like? And did the e-commerce shift, if it's more of a permanent shift or a permanent positive for the company. Is it possible that your margin targets maybe get changed for the longer term?
Debbie Propst: So Reuben, this is Debbie. There are really three dynamics at play that are impacting margin performance in retail right now. One of those is category mix. We did see a big shift into our workspace category, which is predominantly a curation of products that we manufacture vertically. We also saw audience mix shift. So, we saw a shift from our retail contract business and our retail trade businesses into the residential consumer. So for residential consumer to trade penetration this time last year were about 70-30. And this year, we're serving 83% to residential consumers directly versus 17% to trade. And so that's an important note, because despite the fact that we were slightly more promotional than last year, our trade channel has a higher discounting rate. So, we were able to save on this comping as we drove the residential channel directly. And then the last element is channel mix. So obviously, without shifting more volume through web, we saw significant improvement in margin and that's really because of the category mix that we're seeing in web but also because we don't have such a high commission structure associated with web sales. We do incent as of this quarter our studio staff with the web sales, they help drive, but obviously, the commission structure of sales driven in studios is higher. So some of these things are dynamics that we can actively maintain as we go through the rest of the year, but we do expect to see margins normalize a little bit through the course of the year.
Reuben Garner: Got it. Great. Thank you, guys and congrats…
Andi Owen: I would just add to that, that we’ve spent a lot of time building a really strong leadership team in the retail business and building strength. There's been a ton of opportunity. And then we've had calls in the past where retail has not been a strength for us. And I think one of you said in your notes, it's gone from lagger to leader and I think we all agree with that. So, when Debbie said we see margins normalizing, I think we see margins normalizing to what is the new normal in retail because of the opportunity that's ahead of us. So, we think that there's going to be a bright spot going forward. Certainly, we've benefited from mix into task seating. But there have been a lot of other categories in the retail business that have performed extremely well. Given the focus on the distributed workforce. So we're very optimistic about this business in the future and the team.
Debbie Propst: We are and we have some tremendous levers for growth in front of us. We talked a little bit about the investment in digital [Technical Difficulty] performance we're seeing of our new dwr.com Web site, and we have new Herman Miller and the new HAY Web site underway. But beyond just the digital opportunity, we have a huge assortment opportunity, as this business was previously being run as a, what I’d call, analog business. It was about what we could showcase in a physical studio and/or through a catalog. And as we're moving to more of an omni-channel of approach, the assortment curation that gives us a tremendous amount of growth potential. Our audience management opportunity is also huge. And we have been using our last touch attribution model and we're moving to our multi-touch attribution model. So, we really understand the role that each marketing channel plays in the customer journey. But we've, in the meantime, been making some shifts in the way that we think about our marketing spend across channels and are seeing record return on ad spend performing. We have opportunities in our planning and inventory in terms of enhancing inventory turns and reducing liquidation, and we're working on the launch of a new retail concept, which we spoke briefly about in our shareholder letter last night. This really focused on our performance [indiscernible] and work-from-home retail assortments. And those stores will really offer the customers the opportunity to explore the breadth of our performance category and also really understand how did that performance category can improve their personal performance that drive wellness throughout the course of their life. We have opportunities in our fulfillment channels and with our warehousing as we grow the business and then lastly, ongoing cost savings as we continue to strive towards a one Herman Miller approach to how we run this retail segment.
Reuben Garner: Great. Thanks again, guys for all the detail. Congrats on an impressive quarter and good luck navigating through the rest of the year. And hopefully, everybody stays safe.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Andi.
Andi Owen: Thank you so much. So just to remind you, we're big believers in our strategy. We really think it reinforces our purpose of design for the good of humankind. And we believe that we will not only weather the near-term disruption from COVID but will emerge stronger on the other side. So thank you for joining us on the call today, and we appreciate your continued interest in Herman Miller, and we really look forward to updating you again next quarter. Take care and stay safe.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.